Operator: Welcome to Vopak first half 2021 results. . Today I'm pleased to present Eelco Hoekstra, Member of the Executive Board and CEO; Gerard Paulides, Member of the Executive Board and CFO; and Frits Eulderink, Member of the Executive Board and COO of Royal Vopak. Please begin your meeting.
Fatjona Topciu: Hello. Good morning, everyone, and welcome to our 2021 second quarter and half year results. My name is Fatjona Topciu, Head of Investor Relations. Today, our CEO, Eelco Hoekstra; CFO, Gerard Paulides will guide you through our latest results. Our COO, Frits Eulderink, is here as well and will be available for questions during the Q&A session.
Eelco Hoekstra: Thank you, Fatjona. So good morning, everyone, joining us in this call today and it's again our pleasure to share with you the second quarter and half year results for 2021. As usual, I will give a short introduction on the results and the execution of our strategy, and then Gerard will update you on the financial performance. So let's begin with the highlights of the first half year. So in the first half year 2021, combined strategic delivery and financial performance was good. The EBITDA of €407 million in the first half of 2021 was supported by contribution of growth projects. We continue transforming our portfolio for the future and invested more than €146 million in growth during the first half while cost efficiencies are progressing well and in line with our cost outlook of below €615 million for the year. The industries we serve face disruptions in supply and demand of products due to the pandemic, which indirectly impacted our performance. The market for chemicals remains tight as supply continues to be affected and is not able to meet the growing demand. Oil markets have seen recovery in consumption. The oil supply was held back by OPEC+ until recently when they reached a deal to raise output. So as a consequence, the tank storage industry continues to face supply tightness, leading to a lower requirement for access storage of products. Our proportional occupancy rate came in at 88%, which is unchanged compared to the same period last year, reflecting some positive movements in the Netherlands, Belgium and Singapore, but offset by Fujairah, Panama and Indonesia. We made good progress on the strategy execution with new investments in India, China and the United States, on which I will elaborate later on in the presentation. Our digital transformation is progressing well. We continue to rollout of our cloud-based system for our terminals as part of a broader effort to develop our digital architecture to innovate infrastructure and logistic chains. Our digital strategy aims to innovate and will allow us to have more access to data in all aspects of our business.
Gerard Paulides: Thank you, Eelco, and a very good morning to everyone. As Eelco said, we have a unique portfolio and are actively positioning ourselves for the future. This makes our investment case exciting and part of the new economy. Meanwhile, we also focus on performance today. I will update you on the financial performance of the first half of 2021. Let's turn to the financial messages. We continued delivery of good financial performance despite currency movements compared to the same period last year and the Texas winter storm impact in the first quarter of 2021. First half EBITDA stood at €407 million, which adjusted for the currency impact of €15 million negative, represents an increase of €19 million or 5%. Growth project contribution was the driver for EBITDA performance. Net profit attributable to holders of ordinary shares was €1 -- sorry, was €149 million. Financing costs, excluding capitalized interest, were flat compared to the first half. This leads to earnings per share of €1.19. Our financial framework and capital allocation priorities are unchanged, and we continue to invest in growth, surface and our digital infrastructure. Net debt-to-EBITDA as a ratio stood at 2.86 at the end of the first half, in the middle of our targeted range. Let me take you through our financial performance of the first half year in some more detail. In our last call, we highlighted the various levers that have impacted our performance. And on the chart, you see the starting point of the first half of 2020 at €403 million. Changes in the business environment resulted in a negative contribution. Market dynamics in the oil markets were positive. However, currency headwinds and tight chemical markets have reduced our performance. The effect of the Texas winter storm was felt beyond the Gulf of Mexico in other regions and caused short supply of product with high chemical product prices and short product supply chains continued in the second quarter of this year. In response, we have delivered on our growth projects. Within the first half of this year, contributed €20 million. And we manage our costs. Cost efficiency measures are very effective and tracking well against our target. At the same time, we do spend for new business development opportunities. Let me take you through our financial performance for the divisions. EBITDA came in, as I said, at €407 million. Europe and Africa performance mirrors the new capacity and a higher occupancy rate at Europort in addition to new capacity in South Africa. China performance was positive, showing the continuation of our successful development of our portfolio in China with a network of terminals steadily developed over more than 10 years. Vopak China has created a strong position to be able to grow its business in the coming years even further. And the latest announcement of ExxonMobil's contract award was another proof point for us. Americas performance was positive during the first half, notwithstanding the negative impact of the Texas winter storm in the first quarter. Asia and the Middle East performance was lower as a result of weak performance of chemical distribution terminals in Singapore and in Indonesia. And after 10 years of continuous safe and successful LNG operation, our Gate terminal in Rotterdam started on the 15th of June 2021, its major maintenance turnaround, to ensure the best-in-class service for its customers. This was successfully completed as planned on July 10. In addition, Gate terminal will invest in a send-out capacity increase. The additional capacity is planned to become available as of the 1st of October 2024. The total portfolio delivered a return on average capital employed of 10.5%. Turning to the division performance trends of the last quarter. The Americas division continued its performance in occupancy and results, with a strong track record. The Asia and Middle East results were impacted by softer market conditions. The occupancy rate was influenced by out-of-service capacity in Singapore and a challenging chemicals market. The China and North Asia division had a resilient performance. And performance of Europe and Africa reflect the contributions from new assets in South Africa and performance of the hub. In particular, our oil terminal in Rotterdam was strong. Let's move to cash flow. Our cash flow overview in 2020 was mainly driven by the cash inflow from the divestments and the additional gain for the 2019 divestment of the joint venture terminal in Hainan, China, an €85 million repayment of our preference share capital in the industrial terminal in Malaysia. Year-on-year performance was influenced by the impact of derivatives related to intercompany loans. Within intercompany loans, we provide loans to subsidiaries in local currencies. In 2020, many currencies were weak and hence, the loans lost value, but we gained value on the derivative hedges. The settlements of these hedges that were in the money has to go through cash flow from operations. And a positive effect resulted in 2020. In 2021, the opposite happened when currencies recovered, and we also had more in the company loans. Therefore, the derivative hedges show the negative out of the money and settlement resulted in a negative effect on CFFO. We've corrected for that in charge to make the trend more feasible. Sustaining surface and IT investments were €147 million, in line with last year and including investment for maintenance and inspections of out-of-service capacity. We invested €146 million growth investments for the year, which is in line with our ambition. Some comments on investment phasing. We aim to create value by allocating capital to attractive growth projects. And in the last years, we have announced and delivered a significant number of projects focused on growing our portfolio towards industrial and gas terminals. We continue investing in growth and aim to allocate the majority of our growth investments to industrial gas and new energy infrastructures. Our positive views on chemicals have not changed. New growth investments in oil infrastructure are expected to be reduced and will mostly be targeted towards strengthening our leading hub positions. For 2021, growth investment could amount to the low end of the range of €300 million to €350 million based on the assumptions that the Aegis Vopak transaction in India will close early 2022 and therefore, will be recorded in 2022. We are in advanced negotiations to participate jointly with MOL on the ownership of the MOL FSRU floating storage regas unit challenger, and the provision of operation and maintenance services for the FSRU terminal in Hong Kong. The FSH collaboration follows MOL's earlier announcement in 2019, whereby MOL has entered into a long-term contract with the Hong Kong LNG Terminal Limited company, together with Vopak's jetty operation and maintenance support. The project will support Hong Kong's energy transition policy to increase the percentage of power generation with natural gas. Guidance for sustaining services and IT CapEx remains unchanged. In the period 2020 to 2022, we may spend between €750 million to €850 million in sustaining and service CapEx. For 2021, Vopak expects to reach around €290 million in sustaining and service CapEx based on current views on exchange rates. We expect to spend annually €30 million to €50 million in IT CapEx to complete and rollout Vopak's digital terminal management system by the end of 2022 or early 2023. For 2021, Vopak expects to be at the high end of the range in the IT CapEx and we expect the entire program to be completed in 2024. Furthermore, as you've seen in the press release, via Vopak ventures, we've made more than 10 investments in start-ups and scale-ups in the fields of operational excellence and asset management, sustainability and new energy as well as digital and platforms. This includes positions in hydrogen equipment and solar. Turning to proportionate results. Performance of joint ventures and associates is becoming more important with our joint venture assets and strongly reflects our underlying operational performance. Proportional EBITDA is €250 million this quarter, of which proportional joint venture EBITDA is more than €100 million. Our proportional occupancy rate was 88% in the second quarter, with positive movements in the Netherlands, Belgium and Singapore, offset by Fujairah, Panama and Indonesia. Performance of joint ventures and associates is becoming more important. And in the past 3 years, proportional EBITDA has increased strongly with a CAGR of 9% from 2018. We believe that our increased contribution in the joint ventures, which contributes positively to Vopak consolidated results, works well for us. Let me summarize once more the financial highlights for this year. We delivered 5% EBITDA, increase adjusted for currency movements, supported by contribution from growth projects. Our financial framework and capital allocation priorities are unchanged. We continue to allocate capital to value-accretive growth opportunities in balance with an efficient and robust capital structure, and distribution of cash to shareholders. Looking ahead, let me close out. In 2021, reported EBITDA contributions from 2020 and '21 growth projects are expected to be at the high end of the range of €30 million to €50 million, subject to market conditions and currency movements. In 2023, reported EBITDA contribution from 2020 and currently approved growth projects is expected to be in the range of €110 million to €125 million, again, subject to market conditions and currency exchange movements. Additional projects will further contribute to reported EBITDA as well performance of our autonomous assets, existing assets. We continue our cost focus into 2021 and further strengthen our cost culture. The 2021 cost base, including additional cost for new growth projects, is expected to be below €650 million, subject to currency exchange movements. In 2021, growth investment is expected to be at the low end of the range of €300 million to €350 million. In the coming years, the majority of our investments will be allocated towards industrial gas and new energy infrastructures. With that, I will hand back to Eelco for him to lead the Q&A session.
Eelco Hoekstra: Thanks, Gerard. That concludes our presentation and our remarks that we prepared for today. So I'd like to ask the operator, if you could open the call for questions.
Operator: . And our first question comes from David Kerstens from Jefferies.
David Kerstens: I've got two questions, please. First of all, can you please explain why the expected contribution from new capacity is only increasing to €125 million by 2023? After you invested €1.5 billion in growth projects up to 2020 and expect to invest another €3 million this year, I think based on a multiple of 7x EBITDA as a rule of thumb that you previously highlighted at the Capital Markets Day, that would imply an EBITDA contribution of around €250 million, which is double what you're guiding for.  And I understand that that number that you're guiding for even includes the pending JV with Aegis in India. So what am I missing here? Is there an impairment charge included in this contribution from growth projects? And then the second question relates to the development in Panama. I thought from the previous call that there were early signs of progress in pending legislation changes. What is driving the further impairment? And what is the risk that our other terminals in the portfolio that are also faced with delay in legislation, for example, in Indonesia that could trigger future impairments?
Gerard Paulides: Let's first start with Panama. It's the one growth project in our portfolio where we are not happy with the current state of affairs. Current state of affairs is that in 2020-'21, we have not been able to mature the market to the extent of the capacity that we have available in Panama. So we have a market that is not developed at the pace that we wanted to see.  And as a result, we have looked at the asset value and impaired the asset. Last year, we took an earlier impairment, and that was, indeed, as you point out, David, more on account of the expectations of the development of the licenses and permits, which we calibrated the outlook on this year. However, the market has not developed as we wanted to. So it's unfortunate. It's -- we'd like to see it differently. But out of the entire growth portfolio, this is the only exception. Now this is not the end of the story. We have obviously got every intention to still go and develop that market. We are looking at everything we can to promote that market and push the market. It's a logical position relative to the Panama Canal. The current state of affairs, however, doesn't give us any other option than to impair to the level that we've impaired today. Hopefully, I can say that we can still develop the market in the future. In terms of our growth, the guidance we've given is consistent with the similar guidance we've given for this year. So the €30 million to €50 million is growing into the numbers that we've shared and that you've quoted. It's consistent with the investment involved in the assets that we are discussing. And the conversion rate of that capital into this number is just over 8, and that's a mix of the organic 7 that we've mentioned before and some assets that resulted from M&A activity where we have indicated in the past, around 10, 10-plus on certain M&A activities. So the number of €30 million to €50 million this year builds into the €110 million to €125 million into 2023. In addition to that, obviously, we will pursue the allocation of capital to new projects. The guidance we've given for next year, €300 million to €350 million next year, is actually much higher than the number that we've committed to deliver this growth. So that is, from that point of view, separate. And of course, we have good expectations to manage our existing business properly. There's 2 elements of that. It's the market in general, the business conditions which we have labeled as soft today. And of course, the foreign exchange movements and then the bid that we control over the entire portfolio is our cost management. But this is not the end of our growth. This is the sub part of the growth investments that we have identified already for this year. And the other elements will also come into play. So it's not overall guidance. It's not total guidance. It is guidance on the elements that you also see today, which is the €30 million to €50 million, but that extrapolated into 2023. From that point of view, they are the assets that grow to a higher level into the majority of performance. Hopefully, that clarifies, David.
David Kerstens: Yes. I don't see how you get to a multiple of €8 million after you've invested €1.5 billion up to 2020, another €300 million this year and another €300 million next year. How can that only contribute €125 million to EBITDA?
Gerard Paulides: Well, as I've explained just a few minutes ago, the €300 million that we target for next year is -- €300 million to €350 million is not reflected in the numbers that we quote looking forward. These are partly in there because we have part of the projects that are in execution that drive the performance in 2023. But there's also capital allocation that will be spent. That is not part of that number. So --
David Kerstens: But if you only take the €1.5 billion up to 2020, you would have already expected at least €200 million, right? I understand you did €30 million last year, €50 million this year, that adds up to €80 million.
Gerard Paulides: Yes, I don't know where you get the €1.5 billion for. If I look at the list of projects that we include in this guidance, then the number is not €1.5 billion.
David Kerstens: So on Slide 19.
Gerard Paulides: Yes. If you let me finish, then we might get there, David. The selection of projects that we've put into this guidance is the selection of projects that you have line of sight on. That is the projects that we've shown consistently over time and when they will be delivered. The investments that you see at the bottom there, the '18, '19, 2020, of course, are already, at least part, in the 2020 performance of today in the '19 performance, even to an extent in the '18 performance. So these investments that we've made over time, of course, partly are already in the earnings. You cannot add the entire past and then say that is all additional growth in 2023. It's a subset of the investments that is not yet in the earnings and the subset of the investments that are not yet in the earnings get to the multiple that we indicate. It's --
David Kerstens: But what I recall -- sorry. From what I recall, it was that the contribution from new growth projects in 2017, '18 and '19 was very limited that you saw the first contribution of €30 million in 2020. Or is that not correct?
Gerard Paulides: Now, obviously, it's not correct the way you express it. And I'll say it again. The contribution from '18, '19, '20 investments, of course, we benefit from that already in '19, '20, in 2021 in the base performance of our base assets. That is already in our performance and that is logical, given the timing of our typical investments, you would expect that some of that capital is already yielding a return. The investment that is related to the growth assets that are maturing into the portfolio that have been commissioned also in 2021, part of that was still commission going forward. That grows into the contribution of €110 million to €125 million in 2023. It is -- I'm repeating myself, but --
David Kerstens: Fair. Understood. From what I recall is that the first project started to contribute in 2020 and that was only €30 million. So I guess that's where I need to have a look at.
Operator: The next question comes from Amy Sergeant from Morgan Stanley.
Amy Sergeant: I had a couple of questions, if I may. So if I could just clarify on this Panama asset impairment. Is there a risk that we could see any more impairments here? Are we still holding additional value, which relies on any kind of changes into the second half? And then my second question is also around the CapEx. So just in the light of sort of your ROCE being relatively towards the bottom end of your sort of 10% to 15% target range, how are you thinking about that kind of the level of growth CapEx to be sustained going forward, that $300 million to $350 million? Are there any sort of strategies that you have to try and raise this return? Or what is, I guess, driving this -- kind of this level of growth CapEx?
Gerard Paulides: Okay. Maybe I'll start answering those two as well. And then if one of my colleagues wants to supplement and we'll take it as it comes. First of all, welcome, Amy. It's nice to have you on the call and thanks for covering the stock that is appreciated. On Panama, Panama -- is there more in the portfolio that sort of looks alike to Panama? No, I don't hope so. It's not my expectation either. Panama, as I said, is the exception to the rule at the moment that our assets are well positioned and in principle able to perform well in the markets they operate in. So from that point of view, Panama is the exception. In terms of regulatory and David asked the same question, I now realize, I forgot that regulatory or licensing across the portfolio. Is there something similar looming out there on that? No, not other than conducting our normal business. So I don't think there's anything more to read into Panama than Panama.
Amy Sergeant: Maybe if I could just -- maybe I didn't explain it quite right. Is there a risk of further impairment on the Panama asset itself? So is there still some assumption of improvements in the second half, for example, or could -- because this is the second impairment now. Could we then see 1/3, if something, of a change?
Gerard Paulides: Yes. Regretfully, IFRS on impairment is a dynamic concept. So you can either, in future, if business conditions improve, reverse or if business conditions take a turn for the worse, obviously, the -- then you need to impair whatever is left on your books. We've taken a conservative view on the occupancy and the commercial rates that underpin the impairment. It is unfortunate that it happens like this. But IFRS is quite strict in what you do and what you don't to impair and the magnitude of it. You cannot sort of be overly conservative and built-in some buffer or on the opposite, be too optimistic. So you have to accept that you may have reversals or further impairments. We've seen that in different assets in our portfolio. We had a movement in Panama that was reversed. We had a movement in China in 2019, which was material that was fully reversed and monetized. We had an impairment in Estonia, which was impaired and fully recovered to the value prior to the impairment. So our track record is that we timely take impairments. I don't like this feature of IFRS much, but it is the reality that is dynamic valuations from that point of view. On the CapEx and return ambitions of the company, we're totally focused on capital discipline and spending on our rates of returns and translating that into performance of the portfolio. So the 10% to 15% over time is a good number. And we are adjusting our portfolio to make that happen. Sometimes you have to be a bit patient on the individual investments. We have highlighted the India investment, which David also raised as an investment, which is substantially a growth investment. And therefore, also the contribution of India into that number that we quoted is -- well, minimal in 2023 certainly on a reported basis. If you look at the value of our investment on a proportional basis, then it is different. Then the contribution actually becomes much more relevant in 2023. And our proportional EBITDA that we deliver in 2023, which is, in essence, the valuation on the capital investment that David was also trying to highlight, if you would do the calculation of that, then you should look at the proportional EBITDA, and that's a magnitude higher than the reported EBITDA. So hopefully, that gives you 2 answers perhaps, one on the 10% to 15% and maybe a further enhancement on the question I gave earlier to David. Don't forget that if you value the growth investments, you should look at the proportional EBITDA.
Eelco Hoekstra: Maybe a comment, Amy, to build on what Gerard was saying is that, indeed, our objective is to have a return on capital employed between 10% to 15%. I think there are 2 things for which we collectively get an appreciation for us. Obviously, our autonomous business that drives earnings of our existing business. And there, if you look at the current position that we're in, if you look at the foreign exchange, if you look at the revenue-generating capabilities that we are currently in on the assumption that we can have -- drive costs in the same direction. This is, therefore, provides an upside to our existing performance. And the second appreciation you need to have is that we're doing this not in a consistent sort of network. We're continuously changing the portfolio. And I think Gerard alluded to that is that if you make an investment in the terminal network or a terminal position, it takes a while to create maturity for that asset and to get sort of the second and third phase in to drive that value.  And I think also you find Vopak in a moment when we are, let's say, spending a lot in that portfolio transition. But also I think you get an appreciation for the replacement and the improvement of our existing terminals for sustaining CapEx and the IT investments we're spending. So we're investing in the -- in particularly the upgrading our older chemical facilities and sustaining them where we need to as well as we are replacing our complete IT architecture. So I think if you take that all in the mix, you'll see that there's -- that those are the components that are driving our current performance. And we are of the opinion that that is a sensible strategy and a sensible way to allocate our capital. And I think that if the markets provide us that uplift and these assets become operational and a bit of maturity, that we feel comfortable with the range of 10% to 15%.
Operator: Our next question comes from Thijs Berkelder from ABN AMRO.
Thijs Berkelder: Two questions. First, on Slide 18, the CFFO slide. Ex-derivatives, why was CFFO so low in this first half? Did you not receive, let's say, the normal dividend from a number of your JV terminals or so? Or is it something else we should look at? Second question is on for occupancy. You mentioned occupancy declines in Indonesia and Fujairah. Can you maybe explain further what we should expect there to happen in second half and maybe next year related to that? Can you maybe give a kind of outlook on what you expect from your oil terminals from now on? In the past 12 months, they benefited from the, let's say, the COVID impact initially, but probably those contracts now will fade.  Finally, a remark on the question by David, combining Slide 6 and 23, I simply conclude that you're guiding for €1.1 billion to €1.2 billion of growth investments that you guide for a group EBITDA contribution of €110 million to €125 million. So for the leader that reached as that you expand at 10x EBITDA, while you yourself indicates slightly over 8x EBITDA. So maybe a help on what explains the difference.
Eelco Hoekstra: Thanks, Thijs. Let me start with the occupancy, and then I'll hand it over to Gerard to comment on the CFFO and the growth CapEx. If you look at the occupancy in Indonesia and Fujairah, I think they're rather specific. And it's the following, is that in Fujairah, Thijs, what you've seen is that we've, in the last few years, continuously improved our occupancy and our earnings potential there. And that had to do that since 2018, we have seen quite a long period of backwardated markets. So we've been fighting ourselves back in that position, particularly in the oil derivatives market. So that's gasoline, diesel and fuel oil. What's happening in Fujairah is that we came to an end of a long-term contract for crude. And that is a crude that's 0.5 million cubes of tankage, crude in Fujairah, that we need to find new employ for. And we are confident, Thijs, that by 2022, we will have those tanks, again, rented out, but we have to sit through a period in which we are finding a new tenant. So we do not have a long-term concern or, let me say, a '22 concern on Fujairah. It's particularly 2021 that we have to deal with on that particular segment. For Indonesia, it is -- what we've seen in Indonesia is that we have a fuel distribution terminal in Jakarta, which provides fuels for the greater Jakarta area, particularly for the nonsubsidized fuels. Because you might be aware that part of the distribution of gasoline and diesel, particularly gasoline, is subsidized by government for Pertamina, and we take care of the nonsubsidized fuels, which are the independent oil companies that provide their products into the markets. Due to COVID, we've seen a huge decline in demand, in demand for gasoline and diesel. And therefore, we've seen that the -- particularly the subsidized fuels had a slightly advantageous position, which led to an occupancy drop in our terminal in Indonesia. So there, I think also this is a -- let's say, we have to sit out sort of the recovery of fuels in Indonesia. So it depends on the vaccination rate. It depends on the return of economic activity for us to see a recovery of that site. That is on the occupancy, specifically in those 2. On Europort, I think, Thijs, is that we are -- we've seen as well from sort of very low occupancy and participation of Europort in 2018, some improvements with the IMO capacity that we filled up, fighting ourselves back into that market. We've seen year-on an improvement in Europort compared to last year. And we have line of sight on this year, Thijs. So for the second half of the year, we are confident that we can maintain our performance in Europort as it is. But for the year '22, we are still negotiating several contracts. So we do not have a clear sight on how that will develop. So that is the answer to your question, Thijs.
Gerard Paulides: Thijs, thanks. First of all, the CFFO, the delta that you observe is simply a matter of working capital, so trade receivables and trade debtors. And therefore, a timing issue. That's not -- if you would carry that on a full year, you wouldn't see that delta or maybe not a full year, over a period of time, then you don't see that delta. That is not a big deal from that point of view. It would be a big deal if I was concerned about those receivables or otherwise and that's not the case. It's just the patterns that happen to put a bit of pressure on CFFO in the first half of 2021. The second one, again, on the guidance and the capital. The guidance is -- as I said, is on the projects that we have and you have line of sight on. And that if you convert those projects, then you get to a multiple, as I said, of just over 8, and that's the combination of organic and M&A. The numbers you look at on Slide 6 is the total investment of the company, not the total investment in 2022 is in those numbers that we have quoted. We've quoted the same set of -- or almost the same set there because India is there, and I already explained that proportionate, it's interesting in non-proportional India. It's not a big delta. So essentially, it's the same set of data as we coupled on the €30 million to €50 million guidance this year. So it is a subset of our future growth, at least that what our future growth could be. And the other elements that you are not seeing is the performance of the existing business and existing portfolio, the performance of our costs, the effect of foreign exchange and the allocation of new capital into that capital guidance that we've given for 2022. The existing commitments of 2022 are -- and now I'm doing it a little bit from the top of my head. So maybe later in the call, I will correct it. But the existing commitments are less than €140 million, I believe, out of that number.
Thijs Berkelder: Okay. That makes a couple of things clear.
Operator: The next question comes from Luuk Beek from Degroof Petercam.
Luuk Beek: I have two questions. First of all, about the contract rollover, can you comment by the segment a bit what you're seeing with the complexity rollover? How competition is improving? Or are they becoming more challenging? Or how is that developing? And the second thing is on your occupancy rate, which is quite wide, 85% to 95%. And until 2017, we're at the high end of that range. So can you comment on what would need to change in the market to return to that high end of the range? Or has it become more difficult than in the past?
Eelco Hoekstra: On the contract rollover, I think, as you know, we are going to talk about industrial terminals and gas terminals and our distribution terminals. Mostly these are contracts which are for longer periods of time. So there's no imminent continuous contract rollover challenge. So we're talking particularly about the oil and the chemical markets. And as we said in the -- we see for that at this moment in time, softer market conditions, particularly in the chemicals, particularly in Southeast Asia. So I think we find it with the renewals in those areas, let's say, a tougher discussion than we've seen in the periods before. But so far, and I think it's an indication of our network is that if you look at the current conditions, that we still have an occupancy of 88% proportional and serve the ability to despite foreign exchange loss, let's say, have an improvement of our earnings last year, I think, underlines particularly the efforts of our commercial teams in the field out there. So it just tells you that we have to fight harder for this. And I think that we have said our positions are quite unique in the sense that we can attract the right customers. So it is harder work, but I think we're doing a good job in maintaining our earnings there. Luuk?
Luuk Beek: Yes. And in oil also becoming more challenging again.
Eelco Hoekstra: Excuse me.
Luuk Beek: In oil. So I said it's for both markets, that is what --?
Eelco Hoekstra: Yes. No. But in oil, I think, as I mentioned, I think the line of sight that we have is for the end of the year. I'm confident if you look at the push that we're having in the markets with our teams, I'm confident that we can maintain our levels for the second half. But as I say, I think the uncertainty that you find in the market, Luuk, I think OPEC+ needs to respond. We need to see how COVID will ultimately be curved in through vaccination. So I think that's what you see is that the uncertainty is, therefore, really hard also for people to have a clear sense of where things are heading. But I think for the second half, I'm confident about our capabilities.
Operator: Next question comes from Quirijn Mulder -- sorry.
Luuk Beek: On the occupancy, so longer term, is that also related to this? Or are there any other factors that would drive a return to the high end of the normal bandwidth?
Eelco Hoekstra: No. But I think the bandwidth that we guided is 85% to 95%. Obviously, the higher we get in the bandwidth, the better it is for us. I think that if you look at -- we have, as I said, we have soft market conditions, and we are at 88%, which I think is a testimony to the fact again that we are doing well despite these conditions. So what we've seen in the cycle of this industry is that if it returns, it will return in obviously in occupancy, it will return in possibly foreign exchange improvements. It will return in volume and throughput, and that will drive ultimately our earnings potential again. So I think in the long term, I'm optimistic about us being able to find years in which we operate at higher levels than today.
Gerard Paulides: Yes. Just if you look at what we have realized, we are growing our EBITDA. And it's fair to say that in today's market, that is the result of our portfolio development and our growth. Our existing business has not accelerated with the 88% proportional, but the range is perfectly valid. That means that we are in a soft market today. We've also confirmed that and from that point of view, our commercial teams have to work a bit harder to realize the results, but we've proven that we can defend ourselves in the soft market and still grow EBITDA. And hopefully in the future, the stars align a bit more and the market is a bit stronger. At the moment, the existing market is soft and the currencies are against us.
Operator: The next question comes from Quirijn Mulder from ING.
Quirijn Mulder: A couple of questions. First about the chemicals markets. As I remember, second half 2019 was somewhat weak because of automotive. First half 2020 was weak because of maintenance in the booklet plus, say, also COVID-19, there was a recovery in the second half, it's limited. In our first half 2021, we see again a downturn. Can you maybe elaborate on how you view the chemical markets moving forward in 2022, for example, I gave, let me say, also given into our ground, let me say, the idea about the, let me say, the difference in products between automotive and the cleaning products, but you can give some flavor on that? That is my first question. The second question is about the guidance with regard to the €110 million, €125 million EBITDA contribution. Can you give a split between M&A and organic in that number for us, to make a better calculation there? And then my third question is about Aegis joint venture, if I remember that the press release was in that LPG and chemical business, if I make the split, then it is dominated by the -- by -- in terms of capacity by chemicals, but LPG is much more important. But if I read the text, the press release of that moment, the guy of, let me say, the Board member of Aegis spoke about LNG. So maybe you can elaborate on that, maybe somewhat. And then my final question is about the plans for Gate terminal with regard to CO2, how concrete are these plans? Maybe that's the question for Frits. That were my questions.
Eelco Hoekstra: Frits, do you want to want to start?
Frits Eulderink: Yes, sure. Yes, I think you're well aware that the Rotterdam port as also government support to put together a gathering system and a pipeline that goes to an offshore field, the portal project. And what this project that we're involved in aims to do is to connect other sources of CO2 into that pipeline or potentially to give CO2 disbursement companies the opportunity to inject that into other fields than the field to which the portals pipeline will be connected. So this opens up, I would say, the marketplace for CO2 storage. That's the idea. Now obviously, nothing in that world is easy or works without some forms of subsidy yet, although I think it is to be expected that in the near term, the CO2 capture will be actually the dominant source of carbon dioxide reduction in the world. So I expect this to become a very active market. And I think this project is ideally positioned to provide that service to other players who are not directly on that pipeline or who want to have strategic flexibility not to be tied into just one, I would say, system in terms of injection. So I would say still a lot of work to be done. It's early days for the project, for sure. A lot of things need to go right. But certainly, strategically, I think this project has a lot going for it. So I'm optimistic that we will be able to pull this off.
Eelco Hoekstra: Okay. Thanks, Frits. Let me give you an answer on the chemical markets, Quirijn. I think the response we've seen in our network is following very much what's happening outside. So let me elaborate on that. We've seen, as of the end of last year, 2020, a recovery of chemical demand globally. And that has been both in durable, so both in chemicals that go into automotive or going to housing, so they are used for manufacturing. And consumable chemicals have continuously, let's say, demand has been high, particularly for packaging, as you can imagine, for transport of products. I think we've seen the demand going up. And the chemical industry could not provide the supply. And that has to do with 2 reasons. First of all, there were general shutdowns planned for the several of the plants. But also, we've seen the Texas winter freeze shut down the substantial part of the chemical manufacturing capabilities in the U.S. Gulf. And that has led to approximately 17%, 18% decrease in ethylene derivative production globally. What happened then? I think that happened by the end of Q1. We've seen a response, which you would expect is that our industrial terminals in the United States. So that's the Dow sites as well as our Deer Park site, saw throughput of product decreased significantly. But we saw the manufacturing in Asia turned up its occupancy, and we've seen throughput in our industrial sites going up in that location. It's good to know that particularly our Deer Park site is more dependent on, relatively speaking, in throughput revenue than our Asian terminals. So therefore, we had that effect in our first half years. Then we saw a similar response in the distribution terminals, particularly because the United States could not deliver our export products. We've seen lower volume arrive in our Latin America terminals, but also less volume from Americas arrived in Europe. So we saw numbers of between 10% to 18% drop in certain throughputs in our -- particularly our Belgium and our Netherlands terminals in the first half of the year. And most notably, also in Belgium, we have a high dependency on throughput than we have in our Rotterdam terminal. So that mix combined gave us the -- draw the conclusion that we did not run on 6 cylinders. Well, what needs to happen now for recovery? And I'm quite confident on that, and that's where, again, our support comes from is -- we expect that, that demand will continue, but particularly the supply side that I think will respond. Reason being is that we already see that the American chemical sector has recovered, and we've seen in the last month, particularly sort of manufacturing, returning to pre-winter freeze levels. And the second thing we've seen is that the chemical sector already was going through an expansion cycle. And particularly in Asia, we've seen only in China, 7 ethylene crackers being planned that either are recently commissioned or to be commissioned. So we see more liquidity coming into the markets. If that happens and the shutdowns are actually also done? I think the industry is generally expecting softer prices. We already see that happening. If you look what's happening outside right now, particularly the last month, you've seen prices already diminish in chemicals. So that means we expect supply chain to go back to normal inventory buildup, let's say, stock control and supply chains, and that should normalize a bit the discussion. So this is our point of view on chemicals.
Gerard Paulides: Yes. Then on the question on the guidance and what is the composition of the reported CapEx and the reported guidance, the proportion is just over 20% is in M&A. If you work to numbers like that, you get to the multiples that we constantly communicate on.
Frits Eulderink: Maybe then on Aegis. I think you're right. In terms of volume, chemicals is the most in terms of revenue, LPG is dominant. And the LNG is certainly an exciting, I would say, future possibility that is mentioned. But there, we don't have a specific project yet that we are working on. It is more the general concept that India requires a lot of natural gas and could see its way to having an extra LNG terminal there in which we could play a role.
Eelco Hoekstra: Quirijn, you need to see this in the broader light or in -- from a perspective that if you take Vopak and Aegis combined, I think you get quite some synergies with those companies. And with that, I think very clearly, what Frits was saying is that obviously, Aegis is the incumbent player. They have the positions, they have the portfolio, they have the terminals, market development, but they have also an organization which has been already developed for many years and capabilities to execute. And what we bring is, obviously, our broad knowledge globally about the storage business. And what we bring is obviously our international views in the international network, but also the LNG capabilities or, let's say, capabilities to store liquids up and beyond what Aegis is known for. We bring to the table.  And I think that was a remark made by the Chairman to say, we now have a partner that we can work with to further develop that in India. So I think as far as we're concerned, and that's probably a comment that you're making across on both aisles of the discussion. We couldn't have asked for a better partner in India. And I think that also Aegis couldn't have asked for a better international partner to join them. So we're excited about the possibilities there. Quirijn.
Quirijn Mulder: Okay. So maybe a final question on agency is related to -- they have plans for a first terminal, I think, in the South of India. Is that the thing you can confirm?
Eelco Hoekstra: What I can confirm is that we have a Pan-Indian partnership, and that means that if Aegis or Vopak have projects currently in the portfolio, it will be combined and part of that joint venture.
Operator: The final question comes from Juri Zanieri from Kempen.
Juri Zanieri: Just a quick question on my end. I was wondering if you're planning to come to the market with a new strategic update  or you're just planning to do any at all in the near future.
Eelco Hoekstra: Juri, let me take that. As I mentioned in my call, I think if you talk about the strategic update, our strategy, and let me start there, remains unchanged. And that's because we think our strategy, and we believe wholeheartedly, our strategy is working well. Why do I say that is because I think the -- our whole view on how to change our portfolio to store not only the vital products of today, but of tomorrow is very much ingrained in where we believe that we need to take a commanding lead compared to our competitors?  We strongly believe the maritime sector will play a crucial role in bringing commodities across oceans. With 7 billion to 9 billion, let's say, a world moving from 7 million to 9 billion people. So we still think that there's a lot of excitement around that theme. I think we are executing on that strategy. And I think I made that point previously. I think we haven't reached our full potential yet. And with that, I mean, is that in our current network, which we have already changed, I think the -- let's say, if you look at the capabilities to generate revenue so that we were supported by markets, continuous cost focus, foreign exchange and so on have the potential to drive that performance in our existing terminals. In addition to that, that portfolio change is really exciting. And I think that we have a commanding lead compared to our competitors on making that change. We were early in making those clear changes towards industrial and gas. We already have a very strong position in chemicals globally. And that basically sets us up for moving into new energy. And where I said, we have those 10 projects, which will make that change visible and possible because we are already in those industrial locations.  So I think if I look at the -- where my excitement comes from is that the strategy that we've chosen, and therefore, our ability to win making that portfolio changes, but also to move into a more new energy world and to become data oriented is still in full swing. And I think what we'd like to do is to read the benefits of that in the coming years. Particularly in, as I mentioned, a new terminal, let's say, takes a while to get organized. That takes 2, 3 years to get the project sanctioned. It takes sometimes 2 or 3 years actually to construct it. And then the first year to ramp up occupancy. So it takes a while before we are -- before are in full swing. And I think we started this move in 2016. I think it's not 2021. So I think we're still heavily engaged in getting the maximum value out of what we have been doing and are doing currently today. So if you talk about -- are we changing our strategic direction? I think that is probably not on the cards anytime soon or at least there. Not a major shift to what we're doing today.
Gerard Paulides: Yes. And Juri, in terms of what does that actually mean? The growth assets, we've touched a bit on today, the potential, the showcasing our digital capability and our sustainability progress. We've also shown the new energy component or renewable energy component in our footprint today. But there's many more we can show and share on the Capital Markets Day. So within the overarching strategy, which is unchanged.  There's a lot happening in the company, including the potential to what you would translate of going from 88% to a different occupancy number, but I translate that as how do we get maximum EBITDA out of the existing portfolio. And where we have been hesitant a bit is in today's market where travel is restricted, how can we showcase management to you and our investors, how can we showcase the assets, how can we showcase some of the tools.  So it will either be in the second half of this year. Or at the early start of next year that we feel we can effectively mobilize you and investors to meet management on-site on one of our locations to have that discussion with you. So if I -- we haven't set the date yet, but last quarter of this year, maybe first or second quarter next year, it has to happen because we have so much to show you that we regret we can't at the moment, but hopefully, we can.
Operator: And as there appear to be no further questions, I return the conference to speakers for any closing remarks.
Eelco Hoekstra: Thank you very much for moderating this session. First of all, and then I turn my attention to everyone in the call. Thank you very much for spending time again in listening to our story and getting the details to be able to understand and what is that we are all doing. I think I'd like to end on the note just repeating is that, if you look at our half year results in 2021, I think we are confident that despite the weaker conditions, we are delivering on our promise. We are running the network to our maximum capabilities. And I think growth is contributing to that. We are confident in our growth portfolio that we have announced in the last few years in making that portfolio change happening. So I thank you very much for your support and your coverage, and then we'll see each other and talk to each other again in the next quarterly update. So thank you very much for that, and have a good day.
Operator: Thank you. This now concludes our conference call. Thank you all for attending. You may now disconnect your lines.